Operator: Greetings, and welcome to the REV Group Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Drew Konop, Vice President, Investor Relations. Thank you, sir. You may begin.
Drew Konop: Good morning, and thanks for joining us. Earlier today, we issued our fourth quarter and full year fiscal 2023 results. A copy of the release is available on our website at investors.revgroup.com. Today's call is being webcast and a slide presentation which includes a reconciliation of non-GAAP to GAAP financial measures is available on our website. Please refer now to Slide 2 of that presentation. Our remarks and answers will include forward-looking statements which are subject to risks that could cause actual results to differ from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we've described in our Form 8-K filed with the SEC earlier today and other filings that we make with the SEC. We disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly earnings conference call, if at all. All references on this call to a quarter or year are to our fiscal quarter or fiscal year unless otherwise stated. Joining me on the call today is our President and CEO, Mark Skonieczny. Please turn to Slide 3, and I'll turn the call over to Mark.
Mark Skonieczny: Thank you, Drew, and good morning to everyone joining us on today's call. This morning, I'll provide an overview of the year's commercial, operational, and strategic achievements, including full year financial highlights and our consolidated fourth quarter performance. I will then go over the detailed segment financials. First off, I would like to thank our employees for their hard work and dedication over the past year. Their commitment to the initiatives we have enacted to improve operations and our financial performance are apparent in the results we reported earlier today. Throughout the year we delivered year-over-year and sequential improvements that resulted in a six year high and full year adjusted EBITDA, and I want to recognize the individuals in our manufacturing facilities that are getting their job done on a daily basis. Municipal end markets remain robust and we exited the year with a record $4.5 billion backlog driven by strength in the Fire & Emergency segment. Elevated demand for both fire apparatus and ambulance resulted in a quarterly order intake record within fiscal 2023 for each of the fire and the ambulance groups. While demand for units has remained above historic trends for each of these businesses, backlog revenue has also benefited from pricing actions put in place over the past two years. We believe improved execution, higher selling prices, and the reliability of our $3.6 billion F&E backlog, which is largely municipal tax-based, positions us well for 2024. Fiscal 2023 demonstrated the success of pricing actions across the REV portfolio. As we have noted in past calls, the Recreation and Commercial segments were the first to enjoy pricing tailwinds within fiscal 2022 and early into fiscal 2023. The Recreation segment benefited from increased industry pricing, strong market reception of our new product introductions, and a relatively low 2023 model year lot inventory entering the year, which allowed this segment to manage through a challenging market as we exited 2023. In the Commercial segment, limited backlogs for school bus, terminal trucks, and street sweepers emerging from COVID combined with a short production cycle allowed the businesses to realize the benefits of previously enacted price increases within 2023. Improved efficiencies and volume leverage also contributed to strong margin performance in the Commercial and Recreation segments. Within the Fire & Emergency segment, increased production rates and shipments from the ambulance group resulted in improved price realization in fiscal 2023. We expect fire group shipments to begin experiencing similar tailwind in the second half of fiscal 2024. Within the year, we invested in our workforce by implementing gain-sharing programs to an expanding group of businesses, making targeted pay scale adjustments and adding headcounts to support increased production rates at many of our plants. To support the success of these investments in our people, the human resources and local management teams have worked to improve recruiting and expand training programs designed to more effectively onboard workers while minimizing inefficiencies. Managers across the enterprise have shared best practices for developing the required skills and new hires. These efforts contributed to a reduction of voluntary turnover in all segments and a 23% reduction in turnover for the REV Group in total. We will continue these training programs in fiscal 2024 and expect them to provide additional benefits to new hires, current employees and REV bottoms line through an increased labor efficiencies and higher production rates. In fiscal 2023, we improved the conversion of sales to earnings versus 2022 and continued to convert adjusted income to cash with full-year free cash conversion of 116%, the third consecutive year of conversion greater than 100%. We demonstrated a disciplined use of capital by paying down debt in an environment of rising interest rates and economic uncertainty. The result was an improved balance sheet including $81 million of net debt reduction and increased availability in our ABL credit facility. Exiting the year, we had a net debt to trailing 12-month adjusted EBITDA leverage ratio of just 0.8 times, well under our targeted range of 2 times to 2.5 times. Although debt reduction remains a primary use of cash, we continue to look at organic and inorganic opportunities and review our portfolio of existing businesses to ensure that they meet our long-term financial objectives. Now turning to Slide 4. Full year consolidated net sales increased $306 million, or 13% versus fiscal 2022. The increase was primarily the result of increased sales within the F&E and Commercial segments, partially offset by decreased sales within the Recreation segment. The increase in F&E segment sales was primarily due to increased shipments of fire apparatus and ambulance, a favorable mix of ambulance units, and price realization partially offset by an unfavorable mix of fire apparatus. The increase in Commercial segment sales were primarily as a result of increased production of school buses, terminal trucks, and street sweepers and pricing actions, partially offset by fewer shipments and an unfavorable mix of municipal transit buses. The decrease in Recreation segment sales was a result of fewer unit shipments, an unfavorable mix of gas units that carried a lower selling price, and discounting in certain categories, partially offset by price realization. Full year consolidated adjusted EBITDA increased $52 million or 49% year-over-year. The increase in adjusted EBITDA was primarily the result of increased contributions from the F&E and Commercial segments, partially offset by lower contribution from the Recreation segment. The increase in F&E segment EBITDA was primarily due to higher unit volume, a favorable mix of ambulance units, and price realization, partially offset by an unfavorable mix of fire units, lingering inefficiencies related to the relocation of KME branded manufacturing and inflationary pressures. The increase in the Commercial segment EBITDA was primarily due to increased shipments of school buses, terminal trucks, and street sweepers, and price realization, partially offset by an unfavorable mix of municipal transit buses and inflationary pressures. The decrease in Recreation segment EBITDA was related to fewer unit shipments and an unfavorable mix of gas units, increased discounting and inflationary pressures, partially offset by price realization. Turning to Slide 5. I will provide fourth quarter highlights and then move on to detailed segment financials. Throughout the year, we implemented programs designed to increase throughput and improve manufacturing efficiencies across the organization. Within the quarter, the benefits from these programs were most significantly demonstrated in the F&E segment as it delivered fourth quarter sales that were 34% higher than the prior year. Year-over-year, the fire group increased net sales by 28% and unit shipments of fire apparatus reached a 2.5-year high by increasing 21%. Ambulance group net sales increased 46% and unit shipments increased 33% versus the prior year remaining at a level near the third quarter three-year high. Commercially, our businesses were actively engaged with their customers, dealers, and industry groups. The REV fire group demonstrated its commitment to the first responder community by hosting the 27th Annual Fire Truck Training Conference, the largest and most in-depth combined training and testing event in the nation. FTTC provided training to approximately 400 first responders, driver operators, technicians, equipment manufacturers, dealers, and service center representatives through 50 individual courses over four days. Attendees met with suppliers one-on-one to address specific troubleshooting issues and learn the latest maintenance tips and techniques. In September, the REV ambulance group showcased two highly customized critical care transport ambulance at the EMS World, a leading education event for emergency service providers worldwide. Critical care transport is considered the highest level of patient care for most critically injured or ill patients. The showcased AEV brand ambulance were designed to accommodate the extra equipment required when transporting patients in critical condition are an example of the customization capabilities of REV's ambulance brands to fulfill any requirement. Finally, I am pleased to announce that Steve Zamansky has joined the company as Senior Vice President, General Counsel and Secretary. Steve previously served as the Senior Vice President, General Counsel and Secretary at Cooper Tire. Prior to that, he held the same title at Essar Minerals Americas and served the General Counsel of Titan Energy Partners. In addition to legal matters, Steve will sit on the executive leadership team and oversee Corporate Governance and ESG initiatives across REV Group companies. I look forward to the positive contributions that Steve and experience will provide to REV Group. Steve will be working with Paul Robinson, our Interim General Counsel to transition responsibilities through the first fiscal quarter. I would like to thank Paul Robinson for his contributions to the company over the past several months. Please turn to Page 6 of the slide deck. As I move to a review of our fourth quarter consolidated financial results. Net sales of $693 million, increased $70 million, or 11%, compared to the fourth quarter of the prior year. The increase was driven by higher shipments and sales within the F&E and Commercial segments, partially offset by lower sales in the Recreation segment. Commercial segment sales continue to benefit from higher shipments of school buses and price realization. However, unit shipments of terminal trucks, street sweepers, and municipal transit buses declined sequentially. Lower Recreation sales were primarily a result of lower unit shipments across all categories, an unfavorable mix of lower price gas units, and discounting in certain categories, partially offset by price realization. Consolidated adjusted EBITDA of $54 million increased $21 million, or 61%, versus last year with increased contribution from the Fire & Emergency and Commercial segments, partially offset by lower contribution from the Recreation segment. Higher contribution from the F&E segment includes improved results in both the fire and ambulance groups. Commercial segment EBITDA benefited from improved profitability in the school bus and specialty businesses, partially offset by a decline in municipal transit business. Lower Recreation contribution was primarily related to fewer shipments, unfavorable mix, inflationary pressures, and increased discounting, partially offset by price realization. Increased year-over-year consolidated net sales converted an incremental adjusted EBITDA margin of 30%. Moving to Page 7 of the slide deck. We will review our fourth quarter segment results. Fire & Emergency fourth quarter segment sales increased $86 million compared to the prior year. Higher net sales were primarily due to increased shipments of fire apparatus and ambulance units mentioned earlier, a favorable mix of higher content ambulance units, and price realization. Unit production at our largest fire apparatus plant reached a three-year high and fourth quarter shipments from our chassis center of excellence setting records since its acquisition in the spring of 2020. The UAW strike was resolved within the quarter with little impact on our ambulance group, which posted another strong quarter unit shipments, resulting in a six year high of quarterly net sales. F&E segment adjusted EBITDA was $26.8 million in the fourth quarter 2023 compared to adjusted EBITDA of $1.9 million in the fourth quarter of 2022. The increase was primarily a result of higher volume, favorable ambulance mix, and price realization, partially offset by an unfavorable mix of fire apparatus and inflationary pressures. F&E adjusted EBITDA dollars and margin reached a five year high within the quarter. Fire group profitability improved 600 basis points versus the prior year and 140 basis points sequentially, reaching a 2.5 year high. Improved profitability was primarily due to higher sales volume, manufacturing efficiencies related to programs put in place throughout the year mentioned earlier, and improved price realization at several plants. Across the fire group, a greater number of production slots were utilized through improved daily management focused on starts to drive even higher completions. We completed a key milestone at our largest brand campus by realigning production to a more efficient use of factory space. Individual plants now manufacture a dedicated value stream versus running a mixed production line, which created complexity and resulted in inefficiencies in the past. Ambulance group profitability improved 800 basis points compared to last year, resulting in a five year high in adjusted EBITDA margin and a six year high in adjusted EBITDA dollars. All ambulance businesses contributed with improved margin performance sequentially, which resulted in the group attaining the full year margin performance target provided during the 2021 Investor Day. Record F&E backlog of $3.6 billion increased 41% year-over-year, reflecting strong orders and pricing actions. The full year unit book-to-bill ratio was 1.5 times in fiscal 2023. Throughput and unit production are expected to increase at a mid-single digit rate within fiscal year 2024, while industry demand and inbound orders are expected to begin a normalization back to historic trends in both Fire and Emergency. As a result, we anticipate the book-to-bill ratio to be closer to one time than fiscal 2024. Increased throughput and price realization are expected to result in low-double digit percentage revenue growth in fiscal 2024 versus fiscal 2023. Volume leverage, continued efficiency improvements, and price realization are expected to result in a full year incremental margin in the 35% to 40% range on the revenue increase. Turning to Slide 8. Fourth quarter Commercial segment sales of $140 million was an increase of 26% compared to the prior year. The increase was primarily related to higher sales of school buses, partially offset by lower sales of terminal trucks, street sweepers, and transit buses. Fourth quarter shipments of school buses reached a three year high, improving 16% sequentially against a record backlog entering the quarter. Unit sales of terminal trucks and street sweepers declined 9% and 30%, respectively versus the prior year, as end market demand and specialty group inbound orders continue to soften throughout the year. Municipal transit bus production and completions remain impacted by shortages of components such as seats and wiring harnesses, which contributed to a 14% decrease in unit shipments compared to last year. Commercial segment adjusted EBITDA of $16.5 million increased $13.2 million versus prior year. The increase in adjusted EBITDA was primarily a result of increased shipments and favorable mix of school bus units and price realization within the school bus and specialty group businesses, partially offset by fewer shipments of terminal trucks, street sweepers, and municipal transit bus business and labor inefficiencies related to supply chain disruption and a competitive bidding environment in the transit bus business. Commercial segment backlog of $427 million decreased 19% versus last year, reflecting increased production against backlog and decreased orders for terminal trucks, street sweepers, and municipal transit buses. Lower demand for terminal trucks is expected to continue into the first half of fiscal 2024 as logistics providers, retailers, distribution centers and port operators remain cautious while monitoring consumer spending and general economic trends. Lower demand for street sweepers is primarily related to reduced orders from equipment rental companies, which are a primary customer base. We expect the combined results of these specialty group order headwinds to be a decline of approximately $100 million in Commercial segment revenue in fiscal 2024. Lower demand for the municipal transit bus business is primarily related to a transition from carbon-based vehicles to low and no emission solutions. The infrastructure upgrades required to operate a low emission fleet has resulted in municipalities extending delivery dates for buses as they upgrade to depots and other service equipment required to operate a converted fleet. As the transition to alternative fuel solutions get stretched out, the market for incumbent diesel and CNG units has become highly competitive with manufacturers competing to fill production slots. We plan to manage the impact of lower Commercial segment revenue related to these headwinds with cost actions designed to maintain a decremental margin in the 15% range on anticipated revenue decreases. Turning to Slide 9. Recreation segment sales of $215 million decreased 17% versus last year's fourth quarter. Lower sales versus the prior year were primarily a result of fewer shipments in all categories, an unfavorable mix of Class A units and discounting certain categories, partially offset by a favorable mix of Class C units and price realization. Quarterly shipments reached a three year low dating to the second fiscal quarter of 2020, which coincided with the onset of COVID. The largest headwind in unit shipments and net sales was within our towable business, which is currently producing with approximately one month of backlog. Despite an overall industry retail sales decline, our motorized categories continue to outpace the industry and have gained market share in the calendar year-to-date period. Our Class C business posted record quarterly net sales with calendar year-to-date retail unit sales up 6% versus Class C industry decline of 3%. Class A business retail unit sales declined 1% for the calendar year-to-date versus the industry decline of 12% and Class B retail unit sales were up 4% versus the industry decline of 12%. Recreation segment adjusted EBITDA of $19 million was a decrease of $16.2 million versus the prior year. The decrease in adjusted EBITDA was primarily the result of lower unit volume, inflationary pressures, and discounting, partially offset by price realization and cost actions in certain businesses, resulting in a fourth quarter decremental margin of 36% on the revenue decrease. Segment backlog of $385 million at year end decreased 66% versus prior year. The decrease is primarily due to continued production against backlog and lower full year net orders across product categories versus prior year. Within the quarter, our most profitable categories of Class B -- Class C orders remained at a normalized level and in line with pre-COVID levels and backlog for these businesses remained at approximately six months to eight months of production, respectively. We expect fiscal 2024 full year revenue to be down mid-single digits, reflecting continued mixed headwinds from Class A gas units that carry a lower average selling price, plus increased contribution from lower content units and new products in entry level categories. As a result, full year 2024 Recreation segment adjusted EBITDA margin is expected to be in the high-single digits. Turning to Slide 10. Trade working capital on October 31, 2023 was $318.5 million, a decrease of $29.3 million compared to $347.8 million at the end of fiscal 2022. The decrease was primarily a result of increased accounts payable and customer advances, partially offset by an increase in accounts receivable and inventory. The increased inventory balance includes an increase of 40 million chassis and increased finished goods of $11 million related to timing of customer inspection and acceptance prior to delivery. Partially offsetting these increases was a decrease in raw materials, parts, and work in process, which we feel demonstrates the progress of operational initiatives aimed at improving manufacturing efficiencies. Full year cash from operating activities was $126.5 million. We spent $13.1 million on capital expenditures within the fourth quarter and a total of $32.8 million for the full year, including organic CapEx investments for growth. As I mentioned earlier, full year free cash flow of $93.7 million was 116% conversion of adjusted net income. Net debt as of October 31 was $128.7 million, including $21.3 million of cash on hand. We declared a quarterly cash dividend of $0.05 per share payable January 12 to shareholders of record on December 26. At quarter's end, the company maintained ample liquidity for our strategic initiatives with approximately $384 million available under our ABL revolving credit facility. Turning to Slide 11. We provide a 2024 fiscal full year outlook which builds upon the exit rate momentum within the Fire & Emergency segment. We expect continued throughput gains and strong incremental performance within F&E to offset headwinds from cyclical end market softness within the specialty group and Recreation segment. Today's top line guidance is $2.6 billion to $2.7 billion, or approximately flat revenue at the midpoint. Adjusted EBITDA guidance is $165 million to $185 million, an increase of 12% at the midpoint. Given the seasonally soft first quarter, we expect the first quarter to be the trough of revenue-adjusted EBITDA margin with sequential improvement throughout the year. We expect first half consolidated revenue to be approximately 45% of the full year guidance and first half consolidated adjusted EBITDA to be approximately 35% of the full year guidance. Adjusted net income is expected to be $82 million to $99 million and net income $71 million to $90 million. Free cash flow is expected to be in the range of $70 million to $85 million, reflecting a net reduction in customer advances related to increased throughput and lower intake and new deposits in the current interest rate environment, as well as a year-on-year increase of cash taxes paid. We anticipate a reduction in overall inventory to partially offset the impact of lower customer advances. Full year capital expenditures is estimated to be in a range of $30 million to $35 million, including organic growth investments in our businesses as well as ERP upgrades in certain businesses. Maintenance CapEx remains in the range of $15 million to $20 million per year. The expected interest expense range of $26 million to $28 million is approximately flat year-over-year, which considers a seasonal use of cash in the first quarter that typically impacts the full year average debt level, as well as higher interest rates on debt and customer advances versus the prior year. Thank you again for joining us on today's call. With that operator, we would now like to open the call up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Mig Dobre with Baird. Please proceed with your question.
Mark Skonieczny: Morning, Mig.
Mig Dobre: Thank you for taking my question. Yeah. Good morning. I guess my first question, in Fire & Emergency, I appreciate the context on how you're framing 2024, but as I understood it, you're looking at mid-single digit unit production growth, maybe low-double digit revenue growth. I guess that implies somewhere in the mid-single digit pricing year-over-year that you're recognizing. So maybe can you confirm that? And I'm sort of curious as you're sort of looking at what's flowing out of your backlog because you have quite a large backlog that's built up. Are we to expect that pricing will then further accelerate or become a further tailwind as we think about fiscal '25 relative to '24? Thank you.
Mark Skonieczny: Yeah. I think in my prepared remarks that -- you did the math correctly there, Mig. So you're correct, that is -- I will confirm that the pricing, that is the mid-single-digits like you talk about there, mid- to high-single digits. And specifically in the '25 when you talk about the back half of '24, as I said in my prepared remarks is when fire will start realizing the pricing that we have seen come through an ambulance and they've been quicker to execute their backlog. So we would expect similar type of increases as we exit '24 into '25.
Mig Dobre: Great. And from a capacity standpoint, when you're kind of looking at both fire and ambulance, where are you now? Are you able to further increase production volume beyond fiscal '24 or will that require incremental investment of any sort?
Mark Skonieczny: No, I think we can. We've done a lot of work as we talked about throughout the year in increasing our throughput in the existing facilities and again, a lot of our locations are 410, so we have the ability to flex beyond that. So we feel good right now what we're doing from a production cadence and the ramp plans we have in '24 and then exiting obviously '24 into '25.
Mig Dobre: I see. Your comment on incremental margins here 35% to 40%. It sounds like you're getting that without maybe the full tailwind from pricing in fiscal '24. What's the right way to think about incremental margins longer term if you would here as we think about '25 or even beyond that?
Mark Skonieczny: Yeah. I don't want to give anything there, but obviously, we would want to continue to meet that 15%, you know, incrementals. But with the pricing still kicking in, once we see the execution at '24 on our backlog, then we'll be able to give a better view on -- into '25. So I would just say for '24, you know, it includes also operating improvements as we talked about in our Holden facility, which we've talked about the last couple of quarters, right? Then flushing out in the KME units and getting more of a production cadence there. So that's where you're seeing those heavy incrementals as well as improvement in that facility as well.
Mig Dobre: Sure. Then last question for me. The balance sheet, as you pointed out, you made big progress in delevering your sub one-time net debt to EBITDA, and obviously, you're going in the right direction here. So I'm sort of curious, based on your guidance, you're expecting free cash flow to be about $30 million, about $40 million. How do you think about deploying this cash in fiscal '24? Do you think more towards share buybacks, given where your stock is trading in valuation or are you active in the -- in pursuing any sort of M&A deal? Thank you.
Mark Skonieczny: Yeah. I would say we’re not active, but we’re always looking, like I said in my prepared remarks, we still have a lot of value creation in our four walls. So we are entertaining looking at opportunities, where we’re not active in that process. But obviously, we’ll look at as we always do what’s best for the shareholders and from an overall perspective and there’s a share buyback opportunity, we pursue that as we talked about previously.
Mig Dobre: All right. Good luck.
Mark Skonieczny: Thank you. Thanks, Mig.
Drew Konop: Thanks, Mig.
Operator: [Operator Instructions] Our next question comes from the line of Mike Shlisky with D.A. Davidson. Please proceed with your question.
Mike Shlisky: Yes. Hello. Good morning and thanks for taking my questions.
Mark Skonieczny: Hi, Mike.
Mike Shlisky: Hey, guys. I want to touch first on the Recreation segment. Obviously, there's been some downside in the last couple of quarters here. Things as still be challenged. But do you think you might be able to end fiscal 2024 on a positive note, recent easier comps or just a lot of the issues that are facing this segment might eventually flush through by then or do you think it'll be for essentially the entire year in the next fiscal year here?
Mark Skonieczny: Well, I think I can see the first half of the year, which we talked about in prior March was we're still a little bit of tailwind from the industry and then the back half, obviously has a slower than we've been talking about. So as you exit '24, I think we'd get more normalized than what we saw in '23, '20, the comps are more difficult in the first half of the year. And I think we'll be really -- and we judge that coming out of January here in our Tampa show, which is the largest REV show in the U.S. So we'll be able to see what the consumer and dealer appetite is coming out of Q1 here. So I think we'll have a better view exiting Q1 than we currently do in the market right now.
Mike Shlisky: Okay. Great. I also wanted to follow up on some of your comments about street sweepers. It seems like elsewhere, they haven't been calling out too many challenges in the street sweeper business, given infrastructure bill tailwind and just generally positive government spending trends. I'm curious if you can give us more details on what you're seeing there in a certain part of the country, a certain size, sweeper, et cetera, that might be reasons why some reason your segments just now working right there.
Mark Skonieczny: Yeah. I think at a more of it is the utilization. So like we talked about, we sell a lot of rental houses and what they've seen is a drop in utilization in the dealers that we use as well as the operator. So again, it's one that we continue to follow. I think we are seeing increased quote activity, but we just haven't seen the improvement from an order fulfillment perspective. So I think that's a wait and see as well as we exit the season here into the winter. So I think what we're seeing here is more of a normalization of that business coming off a historic high in '23 and the fact that we'll get back to where we used to be. We're building stock within the winter units and then as spring kicks off, we start seeing the order intake pick up. So I think what we're seeing overall is the normalization in street sweeper and our truck business, where we'll see a wall here in Q1, and then it will pick up as the shows kick-off in the spring time of the following year, which is the historic pattern at was that business previous to COVID.
Mike Shlisky: Outstanding. Maybe just one last one for me. On the Type A school buses, I was wondering if you could give us an update on the EV products, how that’s been taking off and order intake for that particular area. Thank you.
Mark Skonieczny: Yeah. So I think for the school bus business, we’re seeing relatively low intake. I think we’re meeting the requirements. It’s still less than 100 when you look at our total Collins business that produces though. So it’s not -- those are accretive those buses, but it’s not a main driver on the results of our school bus business.
Mike Shlisky: Okay. Thanks so much. I’ll pass the line.
Mark Skonieczny: All right. Thanks, Mike.
Operator: Thank you. Mr. Skonieczny, we have no further questions at this time. I would like to turn the floor back over to you for closing comments.
Mark Skonieczny: Yes. Thank you, operator. So in closing, I would like to thank our entire team for their efforts throughout the past year, and I wish everyone on the call a safe and happy holiday season. So thank you again for joining us today.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.